Operator: Greetings. Welcome to the Alteryx Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Chris Lal, Chief Legal Officer. You may begin.
Chris Lal: Thank you operator. Good afternoon and thank you for joining us today to discuss Alteryx' second quarter 2021. With me on the call today are Mark Anderson, Chief Executive Officer; and Kevin Rubin, Chief Financial Officer. Additionally, Paula Hansen, our Chief Revenue Officer; and Suresh Vittal, our Chief Product Officer will be joining us for the question-and-answer session after prepared remarks. This afternoon we issued a press release announcing our results for the second quarter ended June 30, 2021. If you would like a copy of the release, you can access it online on our Investor Relations website. During this call, we will make forward-looking statements related to our business including statements about our financial guidance for the third quarter and full year 2021. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties some of which are beyond our control. Our actual results could differ materially from expectations reflected in any forward-looking statement. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and our Investor Relations website as well as the risks and other important factors discussed in today's earnings release. Additionally, non-GAAP financial measures will be discussed in today's call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today's earnings release. With that, I'd like to turn the call over to our Chief Executive Officer, Mark Anderson. Mark?
Mark Anderson: Thanks Chris and thank you all for joining us on the call today. I am incredibly proud of our accomplishments in Q2. We continued to execute our operating plan and finished the quarter with solid results. Annual recurring revenue or ARR was $548 million, up 27% year-over-year. Revenue came in ahead of expectations at $120 million, up 25% year-over-year. As I've outlined before, 2021 is a transformation year for Alteryx. We believe we have the right leadership and the right operating framework to put Alteryx on a path to reaccelerate our business. I couldn't be happier with how the team is embracing these changes while demonstrating unparalleled value to our customers as we scale. Optimizing data analytics and leveraging automation across the enterprise are increasingly among the highest business priorities I hear from our community every week. At the end of the day, you can't transform your department and your business without first transforming your people. That's where Alteryx comes in. We have skilled knowledge workers. For today's call, I'll give an update on our overall progress against our key imperatives. Kevin will then provide specifics on our Q2 performance as well as our outlook for both Q3 and full fiscal year 2021. Before moving on, I want to describe what we are seeing in the business that resulted in us maintaining our ARR guidance, while lowering revenue guidance for the remainder of the year. The decision was driven by two factors. First, we continue to see the average duration of our contracts pull in as our sales teams primarily focus on ACV. And second we saw elevated sales attrition persist longer than we anticipated. With that context laid out, we'll go into more detail regarding these dynamics but I want to reemphasize that while we did take down revenue guidance, we did not take down our ARR expectations. This is important to highlight as we believe that ARR shows the underlying health and performance of our business. Please remember ARR is unaffected by contract duration. In fact, one-year contracts typically have higher ACV than three-year contracts. As a second point, while attrition will have some impact on ARR as well, we are encouraged by the growing productivity improvements. And given recruiting and training efforts we expect to see improvements in the second half of the year. And finally, we are experiencing an improvement in customer retention rates. It is also important to highlight that one of the reasons we are maintaining our ARR guidance is that we are seeing better ACV on shorter contracts and this dynamic is partially offsetting the impact from continued elevated sales attrition. Now, moving on to our business updates. During the quarter, we welcomed Paula Hansen as our Chief Revenue Officer and wow did she ever hit the ground running. Under her leadership, we are refining the go-to-market strategy to place our best-in-class global sales organization, in front of large customers and prospects who need our innovation the most. We are also re-imagining the go-to-market development journey that is required to enable all customer-facing resources, to meet the growing demand in this fast-changing market. While we still have work to do, as transformations of this scale don't happen overnight, I'm delighted with the progress that we have made. Paula is laser-focused on sales productivity. And as I've said, this will be a key indicator of our progress. Looking at the quarter, we saw notable improvements in this important metric. Both, longer-tenured rep and new hires delivered solid results. I'm particularly impressed at, how many new hires have become productive quickly. This gives me confidence that our re-org and enablement improvements will yield the right results. Another key to our operating plan is hiring on time and hiring at scale. We have ambitious hiring plans for the year, as we continue to scale Alteryx globally. In Q2, our expanding recruiting team helped us achieve our largest hiring quarter ever. I continue to be humbled, by the quality and experience of the people joining the Alteryx team. Despite the strong hiring in Q2, we did see attrition continue throughout the quarter. This will have an impact on our sales capacity for the second half of 2021. Upon reflection, we believe that this higher-than-expected attrition was due to a combination of two main factors. First, our transformation is driving a higher level of operational discipline as well as a focus on large enterprise customers. And this approach isn't for everyone. Second, the impact of COVID seems to have delayed some people's decisions to change jobs. We believe it has caused some employees to reevaluate their careers and their locations. Throughout the first half of this year we've been busy working on mitigation plans to offset our near-term lower sales capacity. These include three key pieces. Fast-start training, an increased focus on hiring execution and creating data-driven campaigns to expand with killer use cases at every large prospect and customer. Remember, a large percentage of this attrition, did not have the experience selling to senior executives along with global systems integrators. In my conversations with other tech leaders, it's clear that attrition levels are high everywhere. In addition to our concerted go-to-market focus in Q2, we held our first virtual Inspire Conference in May. It was our most successful customer conference to date with over 20,000 registrants globally. We had over 60 customer voices presented, including participation from strategic partners like AWS, Snowflake and UiPath. It was energizing to bring our incredible community together to share their successes in driving business outcomes and automation. For example, 7-Eleven presented how they're leveraging Alteryx for their critical supply chain management processes with over 9,000 stores and thousands of products. With Alteryx, they're able to standardize, optimize and automate this complex process that leverages multiple AI models. What was previously a two-day process was reduced to less than one hour with improved accuracy and confidence. UBS presented how they're using Alteryx in a heavily regulated environment. Since becoming a customer over five years ago, they've grown to over 3,000 users and are running up to 6,000 analytics workflows every day to drive business results across the company, in important areas like, revenue forecasting, financial fraud detection, capital planning and much more. Phillips 66 is using Alteryx to improve their supply chain efficiency and margins, drive transportation and logistics profitably and reduce risk through tax automation. They're achieving an incredible ROI. With our innovation, they've generated over $10 million in value saving almost 40,000 hours of manual work and retiring 500 spreadsheets. During their Inspire presentation, they commented that with 1,500 analytics use cases data is the new oil for Phillips 66. Inspire also provided us the opportunity to have higher-level conversations with our customers and prospects. On day one, I met with the CDO of a large financial institution in Asia, for the very first time. They're just starting to use Alteryx to automate analytics across various teams including tax, institutional banking, private banking and risk. Together, we kicked off their citizen data science certification program, on a two-hour Zoom meeting with over 600 of their employees. This rollout is a best-in-class example of how to deploy Alteryx within a large institution at scale. Currently, there are hundreds of employees now on the waiting list for the next phase of the program. The trifecta at work here includes executive support, a jointly developed project plan and strong alignment on execution, all of which will help this customer supercharge their upskilling efforts. In addition to large customers that presented their amazing use cases at Inspire, other G2K customers expanded their Alteryx footprint in Q2, as we focus on the right business outcomes and on customers with the greatest lifetime value potential. This quarter, a leading financial software company in the G2K created an automation center of excellence that leverages technologies, such as robotic process automation from our strategic partner UiPath and analytics process automation from Alteryx. This organization literally wrote the software for finance automation and now they're tackling key use cases internally via complementary RPA bots and APA workflows. We are also seeing customers embrace Alteryx for speed and precision in sports analytics. There are well over 20 sports organizations using Alteryx' critical real-time insights including teams in the NFL, major league baseball, auto racing and global soccer. They're leveraging the Alteryx platform to create a competitive advantage. In Formula 1, McLaren Racing uses Alteryx for real-time analytics automation as well as modeling in digital manufacturing, race day logistics, fan engagement and throughout their back office. As you may have seen, we recently announced a marketing partnership with McLaren. With the Alteryx brand prominently displayed on McLaren race cars and team attire, we are excited to further our brand awareness by partnering with this amazing organization. We continue to focus on our partner ecosystem this quarter. As we expand our leadership position within the analytics market, we recognize the leverage available to us through these strategic relationships and believe that a vibrant ecosystem of partners will function as a force multiplier. An example is our recently announced strategic alliance with KPMG. This alliance is positioned to help organizations accelerate data-driven business transformation around tax operations by delivering greater efficiencies in cost and risk management strategies. Today, KPMG professionals and the Alteryx sales team are strategizing on deals and collaborating in the field with customers to drive business outcomes across supply chain, retail, life sciences, insurance and more. Also this quarter, Snowflake named Alteryx as an elite partner. The fact that we have progressed to the top tier of their tech partner program in just the last few quarters is impressive. And as a result of more comprehensive field collaboration combined with the elegance of the integration of our solution, we now have well over 500 customers in common and growing. Our innovation engine is firing on all cylinders. Earlier this quarter, we announced enhancements with machine learning, intelligence suite and designer. We also unveiled Designer cloud, our first major step forward in our cloud strategy to make access to designer ubiquitous. It's currently in beta and we have hundreds of customers participating. The feedback so far has been consistently positive with customers praising, the design, flexibility, interoperability and new features. As we move closer to GA, we will provide more details around deployment, features and pricing. By being thoughtful in focusing resources on this data program, we expect to get important feedback from participants that will help us successfully roll out this important stage of our cloud strategy. In closing, we're making great progress against our 2021 strategic imperatives and I'm convinced that we have the right plan guiding our business transformation. We're attracting high-quality talent and augmenting our capabilities to support a more enterprise-focused go-to-market motion. After Inspire, our community membership stored over 290,000 users strong. This community is unrivaled in our industry and their engagement levels are only going to get stronger. Our leadership team has the experience to lead the coordination of these resources, while delivering more innovation faster to customers, dramatic reduction of friction in all of our processes, increased sales productivity in high-quality technical and distribution partnerships. I remain confident in our ability to successfully transform Alteryx to deliver long-term value for our people, customers, partners and shareholders. The opportunity ahead of us is massive and growing at global scale. I believe Alteryx will be one of the winners in this highly fragmented data analytics and automation landscape. I'm incredibly energized by the opportunity we have in front of us and I'm confident that as we emerge from the pandemic, customers will see a stronger, faster and more equipped partner to make their transformation successful. With that, let me turn the call over to Kevin. Kevin?
Kevin Rubin: Thank you, Mark. Overall, we delivered a solid performance in the second quarter. We ended Q2 with $548 million in ARR, representing year-over-year growth of 27% and reported Q2 revenue of $120 million, up 25% year-over-year. Both were ahead of expectations, as we continue to see improvements in sales execution, as a result of the transformation efforts we walked you through last quarter. Additional highlights for the quarter include. We ended Q2 with over 7,400 customers, including 770 or 39% of the Global 2000; overall net expansion remained at 120% and a stronger 129% within the Global 2000. Additionally, in Q2 we saw improved customer retention rates. We continue to see gross customer retention in the 90s, reinforcing the strategic value we bring to our customers. As a reminder, the customer churn that we do see typically occurs within smaller companies, especially those with a single seat of designer and up for their first renewal. Before moving on, I want to remind everyone that unless otherwise stated, I will be discussing non-GAAP results. Please refer to our press release for a full reconciliation of GAAP to non-GAAP results. Our Q2 revenue was $120 million representing 25% year-over-year growth. We continue to see contract duration shorten throughout this quarter. I'll provide more color on this dynamic, when I discuss our outlook for the remainder of the year. Our Q2 gross margin was 91%, which was generally in line with Q2, 2020. Our Q2 operating expenses were $116 million compared to $88 million in the same period last year. The increase in our operating expenses is primarily attributable to increases related to headcount and payroll-related expenses. Our Q2 operating loss was $6 million. Net loss was $5 million or a loss of $0.08 per share based on 67.2 million fully diluted weighted average shares outstanding. Turning now to the GAAP balance sheet and statement of cash flows. In the quarter, we spent $10 million in cash flow from operations. Our liquidity position remains very strong, with just over $1 billion in cash, cash equivalents short-term and long-term investments. Before turning to the outlook for Q3 and full year, as Mark just discussed, we are lowering revenue guidance, while maintaining our ARR guidance for the year. Let me provide some additional color on why we are lowering revenue guidance, but reiterating our ARR guidance. As we have discussed for several quarters, revenue and ARR are each affected by different dynamics that don't always trend the same. For revenue, we've discussed how sensitive our revenue is to the contract duration. While I indicated earlier this year that we expect to see our average contract duration shorten, this is occurring at a faster pace than anticipated. In a year at this scale, every 1/10 in annual duration could impact revenue by $10 million. This accelerated change in contract duration is in line with one of the early changes Paula and team have made to significantly reduce the discount incentives for customers choosing three-year subscriptions. While we continue to offer these contracts and many customers continue to contract for multi-years, the average is coming down. This is increasingly the preferred buying cadence from our customers, similar to what other software companies’ experience where one-year contracts are becoming more typical. As you may recall, our contract duration for 2019 and 2020 was 2.0 years. This year, as a result of the strategic decision to focus on ARR and reduce the financial incentives for customers choosing three-year contracts, we are seeing contract duration trend below 1.5 years. Let me provide an example to illustrate how contract duration has a significant impact on revenue, but not ARR. We have included this in our quarterly investor deck posted on our website today. In my example, let's assume a customer purchased $1 million of software from us and elected a three-year term. As a reminder, we have historically offered meaningful discounts for customers electing three-year contract terms. That would result in $3 million of TCV or bookings for this deal and we would recognize approximately 40% or $1.2 million of this deal upfront and the remaining $1.8 million over three years. In contrast if this same customer were to elect a 1-year contract the ACV would improve from $1 million in my previous example to approximately $1.3 million as a result of less discount for a single year contract. Revenue recognized on this 1-year deal would be approximately $500,000 upfront and $800,000 over the year. There are two key points I want to emphasize. First the 3-year contract results in $700,000 of additional revenue upfront due to the longer term and more dollars booked. And second despite the higher revenue recognized from the 3-year deal in the first year we actually realize less ACV. With the 1-year contract we achieved $1.3 million in ACV or $300,000 more ACV which directly benefits ARR. So as we continue to strategically focus on ACV we expect to see benefits in ARR going forward. Throughout Q2 we continued to see elevated sales attrition as a result of the overall market as well as the changes we are making in the organization to align the business with the go-to-market strategy that is aimed increasingly towards enterprise customers. We are seeing this increased employee attrition during a time when we are investing heavily in capacity and growing making it more visible to our team and impactful to our business model. We are hiring great talent with the experience that aligns with our current strategy, but some will take time to ramp. We are investing for the future and sales capacity will improve as these newer employees ramp and attrition slows. While we continue to have good visibility and confidence in our ARR outlook these factors are putting pressure on our revenue forecast as reflected in our revenue guidance. Our guidance assumes the following. First, we continue to expect a modest and gradual improvement in the macro environment for the remainder of the year. Second, we assume the average duration of our subscription agreements will continue to shorten. And third, we assume that approximately 40% of TCV booked in the quarter will be recognized upfront with the remainder recognized ratably over the time of the contract. I'd like to remind you that our guidance is subject to various important risks and cautionary factors referenced in our call today and in today's earnings release. For Q3 2021, we expect to end the quarter with ARR in the range of $572 million to $575 million which represents year-over-year growth of 27% to 28%. We expect GAAP revenue in the range of $121 million to $124 million which represents a year-over-year decrease of 4% to 7%. We expect non-GAAP operating loss to be in the range of $17 million to $14 million and non-GAAP loss per share of $0.21 to $0.18. This assumes $67.5 million weighted average shares outstanding. For the full year 2021 we now expect GAAP revenue in the range of $520 million to $530 million which translates into year-over-year growth of 5% to 7%. We are maintaining our full year ARR guidance and expect to exit 2021 with approximately $635 million of ARR or approximately 29% year-over-year growth. We expect our non-GAAP operating loss to be in the range of $15 million to $5 million. Our non-GAAP net loss per share is expected to range from $0.26 to $0.12. Our non-GAAP net loss per share assumes 68 million basic shares outstanding.  Finally, we expect an effective tax rate of 20%. In summary the transformation journey we began at the beginning of the year is showing positive results and we believe that the operational plan we are executing too will allow us to achieve $635 million in ARR or 29% growth for the year. We have a great team strong product market fit significant market opportunity a powerful business model and a strong financial position with over $1 billion of cash on the balance sheet. And with that we'll open up the call to questions. Operator? 
Operator: [Operator Instructions] Our first question is from Michael Turits with KeyBanc. Please proceed with your question.
Eric Heath: This is Eric Heath on for Michael. Congrats on the strong quarter of ARR. Just wanted to ask on duration. You noted a shortening given the change in sales comp, but just wanted to ask if this is purely due to the sales comp change or if you're potentially seeing any impact in customer commitment levels just as they weigh the rollout of Designer cloud?
Mark Anderson: Hi, Michael. It's Mark here. Thanks for the question. Yes really on the customer front what we're hearing is, first of all, real joy that we're innovating in a manner that's consistent with the kind of feedback that we've been getting from them in the last year or two. And really nothing else different other than that. I think we're continuing to work strongly with our partners both on the tech side and the distribution side. And, yes, we feel really good about where we're going. 
Kevin Rubin: Yes. Maybe just let me add. I think what we're seeing is as we go through the year, I think, customers are increasingly adopting an annual cadence to how they're buying subscription software. And I think that's certainly what we've experienced. I wouldn't attribute any of this to any other factor. 
Eric Heath: Got it. That's helpful. And then I just wanted to touch on kind of the G2K side. It's an increased focus for you guys this year, but it looks like it might have dipped a little bit from last quarter. So could you just walk us through maybe why that was and if it was purely related to sales attrition? 
Mark Anderson: Yes. So we maintained 39% of the Global 2000 for the quarter. The list of Global 2000 does get updated on about an annual basis. And so we did go through a refresh of that which resulted in a handful of lesser accounts. But I want to emphasize I mean we have 39% of the Global 2,000 and they represent net expansion rates of 129%. So there's a massive opportunity of expansion within that customer segment. 
Eric Heath: Got it. Thank you. 
Mark Anderson: Thanks, Michael.
Kevin Rubin: Thank you.
Operator: Our next question is from Brent Bracelin with Piper Sandler. Please proceed with your question.
Brent Bracelin: Thank you, and good afternoon. It's encouraging to see the $35 million sequential build in ARR and stabilization in ARR growth of 27%. I guess, my first question is actually for Paula if I could. I know it's only been four months for you here but I would just love to hear one, what attracted you to join Alteryx after 20 years in sales roles at Cisco SAP? And two, what are your early observations on the go-to-market strategy and some of the refinements that you're making? 
Paula Hansen: Thank you, Brent for the question. I have been listening quite a bit since my time joining here listening to customers to partners to our team and to our loyal community at a global level. And before I joined I was really attracted to the fact that customers like the ease of use of our platform and the business impact that it delivers. Since joining, I've been incredibly inspired to find out just how much they really do love us. And in those conversations I've seen a couple of emerging themes that I think are really indicative of the opportunity that we have ahead of us. The first is relative to the automation appetite in departments like finance and supply chain. So a number of other departments like sales and marketing and engineering have enjoyed modern tools and AI and upscaling for a number of years, but I think the automation opportunity in finance and supply chain in particular is at the forefront right now which is really positive. And then secondly, we see close to half of our customers right now appointing Chief Data Officers whose remit is to marry the business strategy with the underpinning data and analytics strategy. So I think both of these are really great validations of the Alteryx opportunity. So I'm thrilled to be here. I know with the go-to-market strategy that we launched at the beginning of the year that we have a great opportunity ahead and I'm very confident in our ability to seize that large opportunity. 
Mark Anderson: Yes. And Brent if I can just add to that. I've onboarded a lot of execs in my career over the last 20 years. And I can tell you I've never received the kind of internal response from our associates around the world just on the interactions that they've had with Paula it's been amazing.
Brent Bracelin: Great to hear, and look forward to hearing more from you in the future, Paula. I guess just one quick follow-up for Kevin, relative to kind of these discounts. So when did you change kind of the discounts being offered on three-year contracts? Was that in kind of January or more recently in April at the beginning of this quarter? And then was there also a change to sales commissions paid on one-year versus three-year contracts? 
Kevin Rubin: Yes. Thanks, Brent. Appreciate the question. The change is specific to discounting in one versus three was made more recently. And so we're certainly expecting that to play a factor as we look forward into H2. The question around, comp alignment just in general I mean we have orientated the company including the sales organization on ARR and in particular ACV. So I'm not surprised to see that manifest itself in contract duration as well. I think the point that we were just emphasizing is, we are seeing it come down a bit faster than we had anticipated but it's coming with the positive result that we're seeing better ACV as a result. 
Brent Bracelin: Got it. That’s all I had. Thank you 
Kevin Rubin: Thanks, Brent.
Mark Anderson : Hello operator. Can you hear us? [Technical Difficulty] Hello. Yes. Yes operator. Can you hear us? 
Operator: I apologize. Just going through some technical difficulties on my end. Our next question will be from Jack Andrews with Needham. You may proceed with your question.[Operator Instructions] 
Jack Andrews: Good afternoon. And thanks for taking my question. I was wondering if you could speak to -- given the early beta feedback in terms of your cloud product could you speak to any changes in your sales playbooks that you think you might need to implement with the looming launch of this product? 
Mark Anderson : Jack, I'll kick it off and I'll hand it over to Paula and perhaps Suresh. But listen I think we approached this beta process really with the intent of listening to deeply to customers in terms of how they want to consume what we think is incremental innovation and what personas we want to sell to and how we're going to charge for it. Really excited about how the beta is going. And I don't see a big difference in our sales playbook per se because listen I think over time you're going to see more and more innovation being cranked out from Suresh's R&D organization that's going to allow us to deliver much more customer value to our customers with partners and with our customers. And so it's really not that big of a change in the playbook. But Paula, you might add some context. 
Paula Hansen: Yes. Our conversations with customers around our cloud solution is that they see it as an opportunity to expand the accessibility to the innovation that we offer and really build upon the success that we're having with them and the investments that they've already made in the on-prem solutions. So we're really encouraged by the opportunity ahead with cloud and envision that many of our customers will operate in a hybrid environment for years to come.
Jack Andrews: I appreciate that. If I could just ask a quick follow-up question to Kevin. You mentioned your guidance assumes that duration will continue to shorten. Do you mean that that should shorten below the 1.5 that it currently is? 
Kevin Rubin: Yes. My comment -- thanks Jack -- during my prepared remarks is that we are seeing contract duration dip below the 1.5. So it's reasonable to assume that that could happen as we go in the back half of the year. 
Jack Andrews: Thanks very much.
Kevin Rubin: Thanks Jack.
Operator: And our next question is from Tyler Radke with Citi. Please proceed with your question.
Tyler Radke: Hey, Mark a question for you. I think one of the things you talked about when you joined the company as CEO was just around removing friction and making it easier to do business with Alteryx. I know there's been a lot of changes on the go-to-market side, but where do you think you are in that process? Do you feel like there's -- you've been able to kind of unlock some deals that were held up? And how are you thinking about that for the back half of the year?
Mark Anderson: Yeah Tyler. Thanks a lot for the question. Yeah for sure, I think friction is our enemy in technology these days. And I think more and more customers are doing much of the research and even beginning sales cycles without interacting with a human being. So I think that was one of my big drivers in bringing Suresh Vittal on board to run product management and engineering for us, because his experience at Adobe having walked the mile in his shoes was unrivaled frankly. So what we've seen as proof point so far Tyler are -- checked out our website, a significant improvement over where we were late last year. Also our time to download of our trial version has come down substantially. And then -- and I think also as I think about close to 300,000 zealots that are members of our community take a look at the community site and you've seen how we skinned that just in the last few months and it's much more interactive, much better quality I'd say time. And we're seeing the attention span and the growth of our community expand as a result of that.
Tyler Radke: Great. And just a follow-up on the sales attrition here. I mean, do you feel like we've worked through the majority of it? I know you've seen -- you said you've seen it continue here into Q3. But how much more I guess downside is there? And just from an overall productive sales capacity level is this -- are we at a level that was lower than entering Q2? Maybe is it comparable to a quarter that you saw 12, 16 months ago? Just any color on where the ramped productive capacity is relative to prior quarters. Thanks.
Mark Anderson: Yeah. Yeah, you bet Tyler. Thanks for that question as well. Listen I think our sales team prior to last year, or prior to this year was focused on a different set of imperatives. And the transformation that we're doing in go-to-market is really aligning the right resources to focus on mostly larger customers G2000 and above-type customers. And then we've augmented those resources with significant doubling down of our customer success organization, so that we can really earn the right for -- permission to do more -- earn the permission to do more and expand. I think we were surprised frankly with the sustaining of attrition through June and July. But that said it's been a six-month process in terms of the levers that we're pulling to work on mitigation here. And I think we mentioned those in the script. But most importantly, we brought on tremendous resource to focus on enablement to make sure we're teaching the right lessons to the right people in the right roles and really focus on refining our overall marketing messaging and branding, so that we're not the best-kept secret in analytics any longer. We're really proud about the innovation that we've built the pioneering that we've done in this space and most importantly what we're going to do for customers in the future.
Operator: And our next question is from Koji Ikeda with Bank of America. Please proceed with your question.
Koji Ikeda: Hi, Mark. Hi, Kevin, this is Koji. Thanks for taking my questions here. Just another question here on contract durations and the total guidance revision here for the full year. Thank you Kevin for all that explanations. I think, I understand the puts and takes there with the contract durations and how it's affecting revenue. But I guess maybe you can help a little bit more if you could talk about taking the midpoint of the guide here. It looks about a $45 million total revenue guidance cut, maybe if you could just bifurcate that and talk about how much of that is being affected by contract durations and then from the elevated sales attrition?
Kevin Rubin: Yeah. Thanks for the question. I appreciate it. So in my prepared remarks I tried to provide some quantification of how contract duration and its movement impacts revenue. So you should kind of rule of thumb at this scale a movement of one-tenth of contract duration has about a $10 million effect on revenue. So if you look at that relative to the commentary going from 2.0 to potentially sub-1.5, we're seeing a meaningful impact on the forward guidance relative to duration. A secondary factor is certainly is attrition that we've talked about. However, we are certainly encouraged by this -- the second quarter of productivity improvements that we've seen. So I would point you to contract duration as being the primary driver.
Koji Ikeda: Got it. Got it. Super helpful there. And just one follow-up if I may. Just thinking about contract duration and how it's affecting revenue, I guess, how does that affect the way we should be thinking about 2022, or maybe the better question is how long should we expect contract duration to affect revenue growth? And with Designer Cloud coming into the story pretty quickly here, how do we think about contract durations with the Designer Cloud products? Thank you for taking my questions.
Kevin Rubin: Yes, thanks. I would say this, as I kind of said in one of the earlier responses, I think, it is becoming more typical of larger enterprises to get into this buying cadence of once a year. And so I would suggest that we're going to start to see a new normal with slightly shorter contract duration. As I said in my prepared remarks, we're certainly going to see customers continue to elect multiyear and we'll continue to offer those for those customers. But on the whole, I think the sales motion is going to focus on capturing and maximizing the value that we're offering to customers and the ROI that they're achieving. So I would think that we're going to start to see a new normal as we get into the end of this year relative to duration, but we'll continue to update you over time as we see changes.
Koji Ikeda: Got it. Thank you for taking my questions. Appreciate it.
Kevin Rubin: Yes. Thanks a lot, Koji.
Operator: Our next question is from Derrick Wood with Cowen and Company. Please proceed with your question.
Derrick Wood: Great. Thanks. I guess, on the -- maybe to Kevin on the sales attrition, I mean, it sounds like new hiring has been strong. And I'm just curious if you've been able to kind of more than offset the attrition. And maybe you can just give us a sense for how much sales capacity is up year-to-date or kind of where you'd like to be by the end of the year.
Kevin Rubin: Yes. Thanks Derrick. I appreciate the question. We -- as Mark mentioned in his prepared remarks, we had the strongest hiring quarter ever this last Q2. And so that's super encouraging when we think about -- we are going through a transformation and we are hiring as we're investing heavily for growth. And so attrition is -- it's slightly more pronounced when you're going through these growth and investment cycles than it would be if you're just trying to maintain head count. So I think that's an important context as we think about setting up for -- certainly for next year. We are hiring -- continuing to hire at a very rapid pace. As Mark mentioned, we've doubled the size of the recruiting team. We're continuing to double down on how we enable and send our reps out into the field and instilling really a culture of transparency feedback in culture and coaching, which we think is resonating across the organization. So there's a lot of aspects to attrition and hiring that we're focused on. And we hope that as we go through Q3, we're going to see continued strong hiring.
Mark Anderson: Yes. And Derrick if I could just add some context there. I think we're also hiring extremely high-quality salespeople who want to come here and build a career at Alteryx in a really important space that has long-term viability. And this isn't my first rodeo in terms of building out go-to-market teams that are focused on expanding TAM and prosecuting it. The productivity of many of the new hires that we've hired have jumped in and gotten very productive, very quickly. I'm thinking of one young fella in Detroit that is doing an amazing job for us from day one. So -- and there's many out there like him believe me. So we're very much focused on sales capacity and what that means for the overall business, and we're working hard to get better at predicting things.
Derrick Wood: Yeah. And on that Mark, I mean you mentioned in the press release that you've seen significant momentum in your go-to-market strategy and I'm just curious, if you could unpack that a little bit more between the direct and the indirect side. I mean, on the direct side, do you hope that like -- that you'll start to see lower sales cycles better close rates? Are you starting to see that with the productive reps? If you could just unpack a little bit more that would be great?
Mark Anderson: Yeah, you bet. I think – remember, I think we weren't naturally a partner-led organization last year. I think the pressure that we've got from large Tier 1 GSIs like Accenture what we announced this quarter KPMG as well as the relationship with HCL and PWC we're teaching our people how to work with these partners and drive these big transformation projects. And so I think the productivity is going to be a function of elevating the enablement across the board with the team and really getting the leverage from these partners in these bigger deals.
Derrick Wood: Great. Thank you.
Mark Anderson: Yeah. Thanks, Derrick.
Operator: And our next question is from Kamil Mielczarek with William Blair. Please proceed with your question.
Kamil Mielczarek: Hi. Thanks for taking my question. In your full year guidance, you're baking in strong year-over-year growth in net new ARR in the fourth quarter. Can you talk about your level of visibility in the back half of the year relative to prior years? And how much of this growth is currently in contract and how much is dependent on factors like improving macro or improving sales productivity?
Mark Anderson: Yeah. Thank you for the question. So as I mentioned, we are expecting and continuing to see continued improvement in the macro which is encouraging. We've seen continued improvement in productivity that is a direct result of the changes we made in the go-to-market and how Paula is now driving that team. And all of that combined with what we see from a pipeline perspective is certainly informing our view. I would remind you that seasonally Q4 is our strongest quarter of the year. We have the largest concentration of renewals in Q4 which is a great opportunity and a strong opportunity for us to expand with accounts. So it is pretty seasonally consistent with what we've seen in prior years. So I don't see anything that's out of trend.
Kamil Mielczarek: Okay. That's good to hear and nice to see the improving retention rates. And if I could just quickly follow up. Can you give us an update on the competitive environment? Have you seen any changes in win rates or changes in who you're seeing on deals?
Mark Anderson: Yeah, Kamil. So there's no story there really. I think the competitive landscape there's a lot of companies out there 400-plus companies in this space. I think more coming on and getting funded every month. But we're pretty pleased with where we sit in the competitive stack with such an avid followership with our community as well as the volume of customers that we have. And we're really focused on making the very most of that for their benefit by the way. And because I keep hearing from customers, they want fewer vendors, less complexity, more automation and that's where we're focused on innovating and building.
Suresh Vittal: And Mark, if I can add, our customers are solving a broad array of problems in the analytics landscape. They're working against cloud data warehouses. They built -- they're investing in AI and ML. They're doing lots of work around data management. And so we have a birds eye view of all the use cases our customers want to solve and we're excited about the opportunity.
Kamil Mielczarek: That's great to hear. Thanks, again.
Suresh Vittal: Thank you.
Mark Anderson: Yeah. Thanks, Kamil.
Operator: Our next question is from Calvin Patel with Morgan Stanley. Please proceed with your question.
Calvin Patel: Hi all. This is Calvin on for Sanjit. Thanks again for taking my question. I just have one for you guys. With durations coming down, I was wondering how confident are you in the gross retention rates maintaining such high levels next year given that the renewal cycles will shorten a bit? And are the new use cases that you're seeing similarly sticky to prior years, or are you expecting maybe some edge cases where renewal rates or churn could increase?
Mark Anderson: Yeah, it's a great question. I mean, I'll start and others can jump in. We've enjoyed very strong both net retention and gross retention for quite some time and I think the question you're asking around stickiness is important. I mean when you think about a customer environment, deploying hundreds or thousands of workflows, automating through server, we become the analytic fabric of that organization and the ability for those customers to find competitive replacements is incredibly difficult. So I think if you look at how strategically important we are for these customers that have taken advantage, specifically around automation and operationalizing analytics, I don't have a concern that we're going to see a dislocation as a result of duration pulling in.
Paula Hansen: And I would add to that that if maybe in previous years, you were looking for the one or two use cases to validate our value proposition, it's really flipped with customers' conversations, where especially with putting Chief Data Officers in place, it's about how do we – we see hundreds of use cases across our organization. It's really about how we drive access to analytics and bring in the full wherewithal of the employee base into that culture of analytics. So customers are seeing a multitude of use cases.
Calvin Patel: Thank you very much.
Mark Anderson: Thanks,
Operator: Our next question is from Mark Murphy with JPMorgan. Please proceed with your question.
Pinjalim Bora: Hey, guys. This is Pinjalim sitting in for Mark. One question for Suresh on Cloud Designer. I was thinking back and I think I remember Alteryx' maybe secret sauce I think about it as the engine, that kind of rapidly ingests and analyzes a huge swathe of data within a very small memory framework. So with that context, when you have the Cloud Designer how – what are you seeing with respect to performance? Is there any telemetry that you're getting with the Cloud Designer performance versus the desktop product? And then the second question for Kevin, if I understand the math correctly I think you're saying that because of less discounting ACV is about 30% higher. So if you think about the annual ARR, what kind of a benefit do you think that particular dynamic will result in terms of the growth rate this year?
Suresh Vittal: Maybe I'll take the product question first and then Kevin can take the growth question. So on the performance of Cloud Designer versus desktop cloud, we're actually getting really strong feedback on the ability of the engines to scale. And naturally cloud gives us that additional flexibility of bringing – standing up compute when we need it for those workflows. We're getting lots of strong feedback on the interactivity of the browser-based interface on some of the innovation we've added into the core product that allows our users to kind of map the workload before it happens. So lots of great opportunity to innovate in cloud which is primarily why we wanted to go there and really take advantage of all the capabilities cloud gives us. Really strong feedback on the product. Really strong feedback on the performance. And really I'm bullish about Cloud Designer as being built for these cloud-scale workloads. That's what we're going after and the product is kind of fulfilling that need right now.
Kevin Rubin: Yes. Let me answer, I guess the ACV-ARR question. I mean it's hard to quantify specifically what the impact of the three-year to one-year is other than to say our ARR guide for the year implies 29% year-over-year growth, which is an acceleration from what we've seen in the first half. And so it certainly is a catalyst in helping our growth rate as going into the back half of the year. It also it's just I think a function of better aligning the cost of Alteryx and the value that customers receive.
Pinjalim Bora: Thank you.
Kevin Rubin: Thanks, Pinjalim.
Suresh Vittal: Thanks, Pinjalim.
Operator: [Operator Instructions] And our next question is from Steven Koenig with SBC. Please proceed with your question.
Steven Koenig: Hi there, thank you. It’s SMBC. If I could just proceed with the clarification. Kevin, when you quantified that impact from the decline duration, is that a $10 million forward 12-month impact? And then, I'll just put my question out there as well, which is also about the math. I know you don't guide to cash flow, but how should we think about the cash flow impact of the declining duration? Are most of the multiyear contracts paid upfront so the cash flow impact should be proportional to the revenue impact? That’s all I have. Thanks very much.
Kevin Rubin: Yes. Thanks, Steve. And let me go ahead and wrap up these two. With respect to the duration, the 1/10 and $10 million was for the annual period of this year. Obviously, depending on size and scale and the uniqueness of a particular quarter, that it could be a little bit different, but I wanted to quantify for what we're seeing this year. So that's for 2021. And then finally with respect to cash flow, as a reminder our multiyear contracts are generally paid one year in advance similar to an annual subscription. So the pull-in of duration should not have any impact on cash flow. Thank you.
Steven Koenig: Thanks a lot, Kevin.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call over to Mark Anderson for closing remarks.
Mark Anderson: Thank you, operator and thank you all very much again for joining us on the call today. I'm very confident in our team, our partners and the massive opportunity that we have ahead of us. I'm looking forward to seeing some of you on the upcoming conferences in which we'll participate. And I look forward to speaking to you all again next quarter. Take care.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.